Operator: Good afternoon. My name is Joelle, and I will be your conference operator today. At this time, I would like to welcome everyone to the Artis Real Estate Investment Trust Fourth Quarter 2024 Results Conference Call. [Operator Instructions] Thank you. Heather Nikkel, Senior Vice President, Investor Relations and Sustainability, you may begin your conference.
Heather Nikkel: Thank you, operator. Good afternoon, everyone. Welcome and thank you for joining us for Artis REIT's fourth quarter 2024 results conference call. Our results were disseminated yesterday and are available on SEDAR and on our website. With me on today's call is Artis' President and CEO, Samir Manji; CFO, Jaclyn Koenig; and COO, Kim Riley. As we discuss our performance today, please note that the discussion may include forward-looking statements that involve known and unknown risks and uncertainties. These risks and uncertainties may cause actual results to differ materially from those expressed or implied today. We have identified these factors in our public filings with the securities regulators and we suggest that you review those filings. In addition, we may refer to non-GAAP and supplementary financial measures that are not defined under IFRS and are not intended to represent financial performance, financial position or cash flows for the period, nor should these measures be viewed as an alternative to net income, cash flow from operations or other measures of financial performance calculated in accordance with IFRS. Throughout this discussion, all figures will be presented in Canadian dollars, unless otherwise specified. Before we proceed, I'd like to note that a replay of this conference call will be available until April 7. You can access it by using the telephone numbers and passcode that were provided in yesterday's press release. Additionally, a recording will be made available on our website. I will now turn the call over to Samir to discuss Artis' fourth quarter and 2024 annual results.
Samir Manji: Thank you, Heather. Good afternoon, everyone, and thank you for joining us for Artis REIT's fourth quarter and 2024 annual results conference call. 2024 was a year of significant change for Artis. We're pleased with what we accomplished during the year despite the significant headwinds faced by Artis and the real estate sector as a whole. Our primary objective has been to strengthen our balance sheet and enhance liquidity, while at the same time continuing to execute our value investing strategy. These balance sheet and liquidity objectives are critical to managing our risk profile, while creating a positive trajectory for Artis' owners over the long term. As we've mentioned on prior conference calls, this strategy by design will produce lumpy income, but we believe it will ultimately allow us to maintain our distribution while aiming to grow our net asset value in the long term. In the fourth quarter, we sold an office property and a parkade in Canada. Altogether, in 2024, we were able to sell seven office properties, seven retail properties, one industrial property, two parking lots, and a parcel of development land located in Canada, and 14 industrial properties along with three office properties located in the United States for an aggregate sale price of $972.9 million. Subsequent to the end-of-the year, we sold two industrial and two retail properties in Canada for an aggregate sale price of $70.2 million. Successful execution of our disposition strategy has been a critical component of our overall debt reduction goal. Through this active disposition exercise, we have been able to materially reduce leverage and de-risk Artis' balance sheet. At December 31, 2024, our total debt to gross book value was 40.2%, a significant decrease from 50.9% at December 31, 2023. Further, as part of our efforts to improve the REIT's risk profile and manage upcoming debt obligations, in December, we announced that we had finalized terms on new three year senior secured credit facilities in an aggregate amount of $520 million. This includes a $350 million revolving credit facility and a $170 million non-revolving credit facility. We continue to work diligently and closely with our lenders on our upcoming mortgage maturities. At December 31, we had $337.3 million of mortgage debt maturing in 2025. Of this amount, we have renewed 14%, have extension options in place for 14%, and plan to repay 25% upon maturity or disposition of the property. We plan to renew the remaining 47% in due course. Our NCIB continues to be viewed as one of the most effective tools available to enhance unitholder value. With our units continuing to trade on the market at a price that is significantly below our net asset value per unit, utilizing our NCIB is beneficial to our unitholders and is a low risk use of capital for the REIT. Under the NCIB that expired on December 18, 2024, Artis purchased 7,021,296 common units 311,500 Series E preferred units and 342,084 Series I preferred units at weighted average prices of $7.03, $17.74, and $18.69, respectively. The weighted average price we paid for the common units represents a discount of nearly 50% compared to our net asset value of $13.75 per unit at December 31. On December 19, 2024, we renewed the NCIB for an additional one-year term. And plan to continue buying back our units so long as the discount to NAV of this magnitude persists. Turning to an update on our investment in Cominar. Our investment in Cominar has been impacted by the interest rate environment over the past two years. We are actively engaged in addressing the structural challenges that the investor group is facing and anticipate resolving this matter in the near term. Since 2024 Artis, sorry, since December 2024, there have been discussions with interested parties to acquire either a portion or the entire portfolio of investment properties with a solution to settle the outstanding senior and junior preferred units. The settlement may include a discount to the senior and junior preferred units. These discussions are ongoing and we anticipate that an agreement for a transaction may be reached within the next few months on terms that could result in Artis recovering an amount in excess of the carrying value of the junior preferred units at December 31, 2024. As more information becomes available, the REIT will adjust the allowance or expected credit loss as appropriate in future reporting periods. Until then, we have followed accounting principles to book a provision related to our preferred investment. We believe this reflects a conservative estimate and we expect this will be resolved and confirmed in the months ahead. Over the last several months, we have seen positive signs in the overall real estate sector that we feel optimistic about. With an improved risk profile, healthy level of liquidity, and interest rates moving in our favor, we can now shift our attention to pursuing opportunities that we believe will produce above average risk adjusted returns and will grow net asset value per unit for Artis' unitholders. We look forward to providing further updates on some of the key initiatives we've highlighted in due course. I will now turn it back over to the operator to moderate the question-and-answer session.
Operator: [Operator Instructions] Your first question comes from Jonathan Kelcher with TD Cowen. Your line is now open.
Jonathan Kelcher: Thanks. Good afternoon. Just on the Cominar, just so I understand this. So the equity investment is completely written-off right now. And then on the preferred, it doesn't look like you guys booked any income on that in the quarter. So how should it like - it's down to $139 million, how should we think about that going forward?
Samir Manji: I think, Jonathan, as it relates to the value that's reflected, I've already commented on that and the provision we've taken with the ECL. I think and so far as any further interest or pick interest, I think one should assume that the methodology we applied for Q4 2024 will continue in the near-term, given again our expectation that this is going to resolve shortly and whether it resolves prior to us issuing Q1 or after that, I don't think this goes to Q2. I think this gets done well before that. So that's how I would propose, one looks at that.
Jonathan Kelcher: Okay. So just taking your Q4 value of that, I'm assuming probably no income for that amount of money in Q1 and then presumably, you would invest that $140 million or whatever you end-up getting back into something starting in Q2. Is that kind of a way to think about it?
Samir Manji: Sure. Or you assume that those proceeds would be used to reduce debt and therefore, interest costs accordingly.
Jonathan Kelcher: Okay. Now that is a fairly significant amount of your sort of annual FFO. How should we think about the distribution going forward if that income is gone?
Samir Manji: Again, as we've conveyed in our narrative just a few minutes ago, the strategy we have in place and we've had in place now since 2021, by design is going to anticipate lumpy income. There is a concerted effort and certainly intention to maintain the distribution. And so obviously, it's management's job from a capital allocation standpoint to look at investments that we believe over time will produce income and returns that allow us to sustainably maintain the distribution.
Jonathan Kelcher: Okay. And then just on the quarter, the NOI was up quarter-over-quarter by $4.5 million or so. And I'm assuming there's one-time stuff in there. Can you maybe describe that and what the outlook if there's any if you're expecting any sort of similar onetime income in 2025?
Jaclyn Koenig: So net income booked in -- hi, Jon, this is Jaclyn. Net income booked in Q4 related to the income that was booked in Q2 as well. So a final true up on that development income. I believe there's some commentary in the MD&A about that. So that was approximately $4 million. And then going forward, currently, I don't have any forward-looking information on additional lumpy income. But as Samir just commented, that would likely be part of the strategy.
Jonathan Kelcher: Okay. That's it for me. I'll turn it back. Thanks.
Samir Manji: Thank you.
Operator: [Operator Instructions] There are no further questions at this time. Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.